Operator: Ladies and gentlemen, thank you for standing by, and welcome to Bridgeline Digital Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference maybe recorded. [Operator instructions]  I would now hand the conference over to Mark Downey, Chief Financial Officer of Bridgeline Digital. Please go ahead, sir.
Mark Downey: Thank you and good afternoon, everyone. My name is Mark Downey, and I am the Chief Financial Officer for Bridgeline Digital. I am pleased to welcome you to our fiscal 2020 third quarter conference call. Before we begin, I would like to remind listeners that during this conference call, comments that we make regarding Bridgeline Digital that are not historical facts are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Act of 1934, and are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today, may change over time and we expressively disclaim as no obligation to inform you if they do. Results that we report today should not be considered as an indication of future performance.  Changes in economic, business, competitive, technological regulatory and other factors such as the impact of the COVID-19 pandemic and related public health measures could cause Bridgeline's actual results to different from those express or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review the reports and documents filed from time-to-time by Bridgeline Digital with the Securities and Exchange Commission. Also, please note that on the call today, we will discuss some non-GAAP financial measures when discussing the company's financial performance. We provide a reconciliation of these non-GAAP measures to our GAAP financials in our earnings release. You can obtain a copy of our earnings release by visiting our website. I would now like to turn the call over to R.E Kahn, our President and CEO.
Roger Kahn : Thank you, Mark, and good afternoon, everyone. Bridgeline delivered 22% growth in recurring revenue, positive operating income and positive adjusted EBITDA in our third quarter. In Q4, we expect continued growth in recurring revenue and a repeat our bottom-line performance with positive operating income and positive adjusted EBITDA again. Q3 closed more sales than we had in our previous two quarters combined. Q4 is off to a great start, and so far we've closed more sales than the first half of our Q4 than we did in our prior third quarter. Many of our new customers are online retailers in the United States and Europe. We recently launched a newly designed e-commerce site for global consumer electronics manufacturer that enables them to sell direct-to-consumer, while also continuing to support their traditional B2B channel of dealers and distributors. We've seen significant investments from the healthcare industry with hospitals, enhancing their websites to incorporate virtual events as well as implementing messaging systems in response to the COVID-19 pandemic. Recently, two top regional healthcare networks extended their professional services retainers for ongoing enhancements to their websites. We've also had several online pharmacies who sell protective personal equipment, acquire Celebros licenses to improve search and conversion for their e-commerce sites. We even had a veterinary pharmacy buy licenses just this month to further improve its online sales. We've recently won an eyeglasses manufacturer with operations in Europe and in the United States. We also won a sale with the sporting goods retailer in Asia with more than 2,300 retail stores. In our third quarter, we had sales in three continents and across several verticals, including healthcare, pharmaceutical, education, franchise and manufacturing. The value we deliver to our customers is more relevant than ever. Several of our customers renewed their subscription agreements for multi-year terms, including both the fortune multinational oil and gas company, and one of the world's largest pharmacy chains. We have also seen several license expansion within our customer base where customers have grown to higher tiers of our software as their usage is increased. Bridgeline experienced very few business delays due to COVID. In April, we saw slower professional services, when some customers paused work to reset their remote office policies and reassess their budgets. This had a small impact on our services revenue, which we expect to recoup as these customers returned to the delayed service priorities. We saw no significant impact from COVID on licenses. Our customers continue to buy our software and in fact, sales also even picked up. Just as importantly, our customer base continues to invest in Bridgeline products, and we see both cost sales as well as expansions from our long time customers. Before the COVID outbreak, Bridgeline launched an initiative to leverage the unbound platform along with the momentum in Celebros sales to deliver even greater out-of-the-box value to customers. We call this initiative Revenue 360. Revenue 360 pivots towards telephonic sales and partnerships in online marketplaces. This has allowed us to streamline our sales and marketing budget, when more sales and faster sales cycles grow subscription revenue and deliver stronger gross margins, which increased 29% in that same quarter. Revenue 360 is not only a sales strategy, it also guides our research and development. With Revenue 360, we're expanding our technologies to help customers grow their online revenue. And to do so with out-of-the-box tools that drive all three components of ecommerce. We increase site traffic, we increase shopper conversion rate, and we increase the average order value.  Our software has grown each of these three revenue components for hundreds of customers over the years. And our focus now is to package all of our solutions into discrete out-of-the-box applications that are compatible with any platform and bring this value to market faster and do an even wider audience. We recently announced a new product called Unbound Pages. Unbound Pages help franchises increase their online and in-store traffic with out-of-the-box store locator pages. Unbound Pages makes it easy for share to share locator map, store hour and contact information with your customers in a way that is both desktop and mobile friendly and has outstanding search engine ranking. Unlike other locator pages, Unbound Pages are unique and that they include email marketing and online commerce to capabilities that were able to easily include because of our broader unbound product suite. We will be making more announcements this year as we expand our Revenue 360 strategy with additional products. We also intend to continue evaluating strategic growth opportunities through M&A with Revenue 360 guiding our focus. We continue to evaluate SaaS companies whose products help their customers grow online revenues and have efficient sales cycles themselves. We finished our third quarter with a strong cash position, which we expect to remain strong. Furthermore, the company no longer needs to allocate cash for dividends to preferred stockholders is 100% of our investors who held dividend producing preferred stock that converted that preferred stock into common. Finally, the company received a $1 million PPP loan that we expect to be forgiven. In short, we are well positioned to execute on any strategic opportunities that arise and are well situated to wait for just the right ones. We have sales momentum, happy customers, positive bottom line and strong cash. This is the foundation for an exciting software company in our Revenue 360 strategy has proven to win new customers while delivering even greater value to our customer base. I'm excited to show you an even more success on our Q4 call.  At this time, I'd like to turn the call over to our Chief Financial Officer, Mark Downey. Mark?
Mark Downey: Thanks, R.E. Today I will review our financial results for the third quarter of fiscal 2020 ended June 30, 2020. As I mentioned on our previous earnings call in March 2020, the World Health Organization declared COVID-19 as a pandemic. And while we anticipated our operations in all locations to be affected, we were not adversely impacted.  In fact, our productivity increased and our robust business continuity plan was tested in real time, even as the virus continues to spread. We have adjusted certain aspects of our operations to protect employees and customers, while still meeting customer needs for mission critical technology, including quick responses to address customer needs in light of COVID-19. We continue to monitor the ever fluid situation closely. And it's possible that we may implement further measures to address the needs of our staff customers. Total revenue for the quarter ended June 30, 2020, which is comprised of license and services revenue was $2.6 million for the quarter ended June 30, 2020, as compared to $2.7 million for the same period in 2019. Falling on various components of revenue. Subscription and license revenue, which is comprised of SaaS licenses, maintenance and hosting revenue and propetual license revenue, increased 22% for the quarter ended June 30, 2020 to $1.9 million from $1.6 million for the same period in 2019. This increase is attributed to more for renewals across the diverse portfolio of customers, including retail, healthcare, financial services, franchise, education, manufacturing and multiyear license renewals from Fortune 500 pharmaceutical, industrial manufacturing and global energy companies. As mentioned in prior earnings call, deferred revenue accounting rules associated from our 2019 acquisitions dictated a full-contracts are not recognized upon acquisition, but only a portion of those revenues associated with OrchestraCMS can be reflected. We are now able as of March 1, the first annual license payment after acquisition to recognize the full 100% value of these acquired contracts. Recurring revenue, which is comprised of SaaS licenses, maintenance and hosting revenue increased 22% to $1.9 million for the quarter ended June 30, 2020 from $1.6 million for the same period in 2019. As a percentage of total revenue, recurring revenue increased 14% to 73% of total revenue for the quarter ended June 30, 2020, compared to 59% for the same period in 2019.  Services revenue decreased $405,000 to $713,000 for the quarter ended June 30, 2020 as compared to $1.1 million for the same period in 2019. As a percentage of total revenue, services revenue accounts for 27% of total revenue for the quarter ended June 30, 2020 compared to 41% of total revenue for the same period in 2019. As a result of the COVID-19 pandemic, many clients put a hold on budget previously planned for time and material engagements, while they reassessed the next step for the businesses. While average billable hovered around 52% in April and 51% in May respectfully, Bridgeline's reaction to the real world events to stimulate additional quick wind engagements leading to an average billable utilization of almost 72% in June. Finally, Bridgeline's overall focus is on increasing licensed revenue with some of our newer products, such as the Celebros product line, which requires a little or no services to implement. This focus along with the company through partnerships and customers’ ability for self-service are expected to further increase our license to services ratio overtime. Total revenues from two acquired businesses comprised approximately 41% of the total revenues for the quarter ended June 30, 2020. Gross profit increased 29% or $351,000 to $1.6 million for the quarter ended June 30, 2020 as compared to $1.2 million for the same period in 2019. Cost of revenue decrease 28% or $412,000 to $1.1 million for the quarter ended June 30, 2020 compared to $1.5 million for the same period in 2019. Gross profit margin increased 14% to 59% for the quarter ended June 30, 2020 compared to 45% for same period in 2019. Operating expenses decreased 65% or $2.6 million to $1.4 million for the quarter ended June 30, 2020 from $4 million for the same period in 2019. Include within the quarterly totals as of June 30, 2020, the net benefits in overall efficiencies of the previously announced reduction of our U.S. and Canada operations. By eliminating redundancies and combining certain responsibilities in the functions. Included within the quarter ended June, 2019 results, our acquisition charges of $938,000 related to the acquisition of Stantive and Celebros respectively. As we have stated on our prior earnings calls, we had concluded on March 12, 2019, the sale at 10,227.5 units of senior preferred stock and associated warrants with a market value of $21.5 million less the gross proceeds received of $10.2 million, which resulted in a non-cash charge to warrant liability expenses of $11.3 million. The net proceeds for this transaction were allocated to each of the freestanding financial instruments based on their fair values, which are comprised of preferred stock and warrants. Due to fair value, derivative accounting rules, the derivative warrants are independently reviled on a quarterly basis. For the quarter ended June 30, 2020, this re-valuation, which takes into account the overall increase in our market share price from the previous quarter resulted in a $1.8 million non-cash loss to change in fair value of warrant liabilities, as compared to a $10.1 million non-cash gain for the same period in 2019 respectively. Operating income for the quarter ended June 30, 2020 is 150,000 as compared to an operating loss of $2.8 million for the same period in 2019. Net loss applicable to common shareholders for the fiscal quarter ended June 30, 2020 is $1.7 million compared to net income of $7.2 million for the same period in 2019. Adjusted EBITDA for the quarter ended June 30, 2020 is a gain of 428,000 or $0.11 per diluted share compared to a net loss of $1.6 million or $0.77 per diluted share for the same period in 2019. Our non-GAAP adjusted net loss for the quarter ended June 30, 2020 is $1.4 million or $0.37 per diluted share compared to an adjusted net income of $8.6 million or $4.21 per diluted share for the same period in 2019.  At June 30, 2020, the company net cash of 1,165,000 and accounts receivable net of 799,000 as compared to September 30, 2019, where the company had cash of 296,000 accounts receivable net of 979,000. As of July 31, 2020, our cash balance is consistent with our June results. Total days sales outstanding for the quarter ended June 30, 2020 is 42.1 days, and improvement from the beginning of the year high of 48.8 days. Total day sales outstanding for the quarter ended June 30, 2019 was 60.3 days. The primary reason for these improvements can be attributed to our exceptional strong customer relationships and consistent conversion of accounts receivable into cash. In February 2016, the FASB issued an ASC 842 Leases, which outlined principles for the recognition, measurement, presentation and disclosure of leases, applicable to both lessors and lessees. This new standard requires lessees to recognize most leases on the balance sheet for the rights and obligations created by these are those leases. As a result of adopting the new standard as of October 1, 2019, the company is recognized as of June 30, 2020, operating lease assets and liabilities of approximately 325,000.  On December 31, 2019, the company follow the first amended and restated certificate of designations for the Series A convertible preferred stock, which amended and restated the Series A preferred stock conversion price, mandatory conversion, redemption option in dividends. The company has 264,000 of authorized shares of Series A convertible preferred stock, which may be converted into shares of common stock. As of June 30, 2020, Series A preferred shareholders have converted 100% or 260 shares to 310 shares issued and outstanding plus 19,767 of paid in time shares of Series A convertible preferred into 1,611,584 shares of common stock.  Additionally, as of June 30, 2020, the Series C preferred shareholders have reverted 20% or 84 shares issued and outstanding Series C convertible preferred into 9,555 shares of common stock. We anticipate being able to convert all remaining Series C convertible preferred shares in the fourth quarter 2020. On April 17, 2020, the company entered into a loan with BNB Bank as a lender in an aggregate principal amount of a million or 47, 500 pursuant to the Paycheck Protection Program under the CARES Act. The PPP loan is evidenced by a promissory note. Subject to the terms of the note, the PPP loan bears interest at a fixed rate of 1% per annum, with the first six months of interest deferred has an initial term of two years is subsequently increased to five years and in unsecured and guaranteed by the Small Business Administration. The company will apply to the lender for forgiveness of the PPP loan, with the amount, which may be forgiven equal to the sum of payroll costs, covered rent obligations and utility payments incurred by the company during the 24 week period, beginning on April 21, 2020 calculated in accordance with the terms of the CARES Act. As of June 30, 2020, we have calculated our forgiveness based on the SBA requirements to be $554,000 or 53% of the applicable PPP loan drawdown. Our total assets are $11.3 million and total liabilities of $8 million. As a result of our Series A and Series C convertible preferred shares conversions common stock. We have 4,419,614 issue and outstanding shares of common stock as of June 30, 2020, as compared to 2,798,475 issued and outstanding shares of common stock as of September 30, 2019. I want to wrap up with some financial outlook. We expect to continued growth within our recurring revenue and to generate positive operating income and adjusted EBITDA for the fourth quarter of fiscal 2020. Thank you all for listening. And at this time, we would like to open the call up to Q&A.
Operator: Thank you. [Operator Instructions] First question is from Howard Halpern with Taglit Brothers. Please go ahead.
Howard Halpern : So, year-to-date, how many new customers have you gotten there? Are most of them in the Celebros product category?
Roger Kahn : Most of them are in Celebros in terms of quantity. Celebros is really selling quick, and it's the model that we're going to be using to sell all of our software. Last quarter alone, we had 8 licensed sales and six of them were Celebros. I don't know – I don’t remember what the previous two quarters were, but I think they ended up to 7. And I missed Revenue 360. Revenue 360 is, it's not a marketing term, although I like the term and we might start use it in marketing side. It really describes our strategy where we're taking Unbound and we're taking Orchestra, which our platform that traditionally would require a bunch of professional services to customize in order to implement some of the online store and pulling the components out of those, that directly impact revenue, wrapping them up so that they can be sold just like Celebros without requiring a bunch of professional services and making them compatible with all of our competitor platforms like Magento and Shopify and so forth. And this has been enabling us to expand our perspective customer base to anyone regardless of what they've got a competitive platform to Unbound or not should have our sales be fully telephonic and ultimately completely touchless where you would just be able to buy our software through our website for faster sales cycle, lower cash. It's really off to a great start.
Howard Halpern : If I come in initial product license, whether sort of one of the [indiscernible] offerings. How do you guys perhaps yourselves interacting with [Technical Difficulty] based to offer different essentially [Technical Difficulty] sell to your new client base as they become -- for initial purchase?
Roger Kahn : So what we're doing is there are hundreds of implementations on our platform that have each one dozens of unique ways that they implement revenue enhancements, they might send out coupons. They might have special artificial intelligence systems that recognize most important keywords and register them with Google. They might have recommendation engines, and we're taking those best practices from all those different customers and bundling them off. This gives us cross sale opportunities where we're now going into our own customer base and saying, “Hey, here's something that we did for another customer”. We've got it bundled up, you can just buy it directly without a big complicated them expensive implementation process. And selling it throughout our own customer base, and then of course, also selling out to the rest of the world.  And we believe that the what's called marketplaces, where platforms like Magento for instance, allow other companies to sell their Magento compatible products on these marketplaces will be a significant distribution point for us. And we've already got sales from the Hybris marketplace, the Magento marketplace, the Shopify marketplace actually. 
Howard Halpern : Any type of that can be received, I guess new Celebros customers specially in terms of the machine AI technologies that are in that offering?
Roger Kahn : Right. So a lot of our AI technology came from the Celebros product line. And this artificial intelligence is able to understand the patterns in which people behave on your website. Which ones are those patterns turn into actual purchases. And we're leveraging that capability with some other newer AI that we've developed to be able to put the right product in front of the right person at the right time when they visit an online store, those include the ability to do recommendations, people who bought this also buy that even to be able to register products as individual one click purchase pages that are registered with Google. 
Operator: Thank you. And our next question is from [Ben Crissy]. Please go ahead.
Unidentified Analyst: Hey, R.E, this is Ben. I've spoken to you before. So, I wanted to topic a little bit from the financial side to the technical side. And as you know, like, I think you mentioned Shopify as a competitor. And technology changes really fast, right. And a lot of your competitors are heavily invested in technology. They're building new, they're doing a lot of R&D new programming languages, all that kind of thing. And I was wondering, you have these acquisitions, and how is the integration going? And are you able to sort of build out modular systems so that you can help out in one side with another platform? And I think, based on your career site, it's kind of like a dotnet shop. Is that kind of where you see yourself investing heavily continuously forever? 
Roger Kahn : Right. Well, those are great questions. And they've been huge advances in system integrations over the last 10 years with what are called restful API's and also what's often called headless CMS. And the gist of both of these system is that you can have components that are running in different languages and different servers and communicate quickly enough to be able to pass information back and forth with reasonable standards to act like they're on a single system. And this is really what's allowing us to be successful with our current system. So, we communicate with Unbound platforms with a Magento platform with an FAP, ERP, an Amazon personalization engine continuously and provide a single seamless output is all running on one servers. We've been doing this now for a little bit over a year. It's working really well. And I think it's the standard that's getting better every day and it's maturing. So that problem that you just pointed out, which has pledged computer scientist forever, and it's a tough one, is one that in our particular industry is pretty mature and we're leveraging that to move quick.
Unidentified Analyst: Okay. Cool. And then, like, in terms of like doubling down in like dotnet, are you like switching one team dotnet or it sounds like you guys have a lot of different languages that you have to work with. You've got to work on lightning, you got to work on Magento's kind of specific staff, you've got PHP. Does that end up reducing velocity? And I think also like, test coverage, are you able to keep the bugs down as you guys are kind of scrolling out into a lot of features now. So, are you able to focus in and make sure that you don't ship regressions and hurt your net retention ratio?
Roger Kahn : Sure, Right. So on the language side, most of our technology is enlightening in dotnet and our engineers generally will also have a lot of experience with some of the usual suspects with PHP and Ruby and Java. And as we integrate with more and more system, I expect some of those languages to become a bigger part of our engineering team. But because most of our integration is happening in restful API, we don't get too caught up in and having to do too many things outside of the standard languages that we're accustomed to because they all have a restful interface. Now on the regression in QA, this is something that's near and dear to my heart. We care a lot about that. And what we do is not only are we building unit tests and automation suites and integration tests and all the good stuff on our own software, but whenever we do an implementation for customer, we create a test suite for each of our customers, and that goes into our R&D team. And every time they create a patch, they first run it across all of our customers test suite. A lot of those are built on like essentially, I'm trying to remember which technology were used at, blanking right now, but screen recorders that are simulating clicks through on their website, for example, and we'll have a stage version of their site running with recording at it and make sure that the click through analysis works. In other cases with some of our bigger customers will actually have a deeper integration tests that are running our unit tests, that are running inside of their suite. But we run that across all of our customers on every patch. So that's how we're approaching that QA issue.
Operator: [Operator Instructions] Ladies and gentlemen, I'd like to turn the call back to management for their final remarks. Roger Kahn  Thank you. And thank you all for listening. We appreciate the support and patience of all of you, our shareholders and our partners. And our goal to continue to build a scalable business model, which in turn will bring shareholder value. We've reached very important milestones just now. We have positive operating income, positive adjusted EBITDA. We've got a subscription license growth, new products that are being released. It's a very exciting time and really looking forward to sharing our Q4 results with you on our next conference call. Stay healthy and be well.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may now disconnect. Have a wonderful day.